Operator: Good evening. State Line.
Operator: Fourth quarter 2024 earnings conference call. All participants will be in a listen-only mode.
Operator: To ask a question, you may press star then one on a touch-tone phone. To withdraw your question, please note this event is being recorded. I would now like to turn the conference over to Jack Atkins, Director of Finance and Investor Relations. Please go ahead.
Jack Atkins: Thank you, Betsy. Good morning, everyone, and welcome to the fourth quarter 2024 conference call for Old Dominion Freight Line, Inc. Today's call is being recorded and will be available for replay beginning today through February 12, 2025, by dialing 1-877-344-7529, access code 3755692. The replay of the webcast may also be accessed for thirty days at the company's website. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and are subject to risks and uncertainties, including statements, among others, regarding Old Dominion's expected financial and operating performance. For this purpose, any statements made during this call that are not forward-looking statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, words such as believe, anticipates, plans, expects, and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by important factors, among others, set forth in Old Dominion's filings with the Securities and Exchange Commission and in this morning's news release, and consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to publicly update any forward-looking statements, whether as a result of new information, future events, or otherwise. Please note that all prior period share and per share data discussed on today's conference call have also been adjusted to reflect our March 2024 two-for-one stock split. As a final note before we begin, we welcome your questions today but ask that you limit yourselves to just one question before returning to the queue. At this time, for opening remarks, I would like to turn the conference call over to the company's President and Chief Executive Officer, Mr. Marty Freeman. Marty, please go ahead, sir.
Marty Freeman: Good morning, and welcome to our fourth quarter conference call. With me on the call today is Adam Satterfield, our CFO. After some brief remarks, we will be more than happy to take your questions. Old Dominion's fourth quarter financial results reflect continued softness in the domestic economy. While our revenue declined 7.3% in the quarter due to a decrease in our volumes, our market share remained relatively consistent while we continued to strengthen our customer relationships. Although our fourth quarter earnings per diluted share of $1.23 represents a 16.3% decrease compared to the same period a year ago, I am proud of how our team continued to deliver superior service while also operating very efficiently despite headwinds from lower density. The past few years have been full of challenges within our industry, especially given the sluggish macroeconomic environment that has continued far longer than most of us would have anticipated. Through all of this, we have remained committed to the key elements of our proven long-term strategic plan, and I would like to thank our OD family of employees for their unwavering dedication to our core strategic priorities. While we have focused on what we can control, providing superior customer service, remaining disciplined in our approach to pricing, and controlling our costs by maximizing our operating efficiencies and minimizing our discretionary spending, we have also continued to invest in our network, our technology, and our people. As we strengthen our balance sheet, it allows us to remain focused on long-term market share opportunities. The consistency of our execution through the ups and downs of the economic cycle has been a key element in our ability to win market share through the years. Our customers know they can rely on us to be there for them and help them keep their promises to their customers. I am proud to report that once again, this was the case in the fourth quarter as we provided our customers with 99% on-time service and a cargo claims ratio below 0.1%. By consistently providing our customers with best-in-class service, we are adding value to their business, which in turn supports our yield management initiatives. Our long-term consistent approach to pricing, which focuses on individual customer profitability, is designed to help offset our cost inflation and support future investments in our capacity and technology. In the face of this challenging demand environment, our team has worked hard to control our costs and preserve our profitability by looking for ways to operate as efficiently as possible. As a result, over the past two years, our direct operating expenses have declined as a percentage of revenue despite headwinds from lower network density and continued cost inflation. This shows the flexibility of our network as well as the commitment of our entire team to match our direct operating costs to our business levels. Importantly, our efforts to control costs have not prevented us from continuing to invest in our business for the long term. We spent $771 million on capital expenditures in 2024, which follows the $757 million in capital spending we executed in 2023. These figures include $664 million we have invested over the two-year period in the ongoing expansion of our service center network. We opened four new service centers in 2024, and we also have several other facilities under construction or nearly complete that we can open quickly once the demand environment supports it. We have over 30% excess capacity in our service center network, but we know how quickly the market can change. These ongoing investments have created some short-term headwinds to our overhead expenses due to higher depreciation costs. That said, we are willing to incur these costs in the short term so that we are in a position to grow with our customers and support them with the capacity and technology they will require in the years ahead. Thanks to the hard work and dedication of our OD family of employees, I am cautiously optimistic as we start the fiscal new year. While we cannot predict when we will see an inflection in demand, we are well-positioned to respond to an improved operating environment when it materializes. Over the past decade, our consistent execution and commitment to superior service have allowed Old Dominion to win more market share than any other LTL carrier. We are confident that by continuing to implement our proven strategic plan, we are positioned to continue to win market share and drive increased value for our shareholders over the long term. I appreciate you joining us this morning. And now Adam will discuss our fourth quarter in greater detail. Adam?
Adam Satterfield: Thank you, Marty, and good morning. Old Dominion's revenue totaled $1.39 billion for the fourth quarter of 2024, which was a 7.3% decrease from the prior year. Our revenue results reflect an 8.2% decrease in LTL revenue per hundredweight. We also had one extra workday as compared to the fourth quarter of 2023. On a sequential basis, our revenue per day for the fourth quarter decreased 2.7% when compared to the third quarter of 2024, with LTL tons per day decreasing 3.0% and LTL shipments per day decreasing 4.6%. For comparison, the ten-year average sequential change for these metrics includes a decrease of 0.3% in revenue per day, a decrease of 1.2% in LTL tons per day, and a decrease of 2.9% in LTL shipments per day. The monthly sequential changes in LTL tons per day during the fourth quarter were as follows: October decreased 3.0% as compared to September, November increased 0.7% as compared to October, and December decreased 4.0% as compared to November. The ten-year average change for these respective months is a decrease of 3.1% in October, an increase of 3.1% in November, and a decrease of 7.2% in December. For January, our revenue per day decreased by 4.2% when compared to January of 2024 due to a 7.1% decrease in our LTL tons per day that was partially offset by an increase in our LTL revenue per hundredweight. LTL revenue per hundredweight excluding fuel surcharges increased 4.5% in January. Our operating ratio increased 410 basis points to 75.9% for the fourth quarter of 2024. The decrease in our revenue had a deleveraging effect on many of our operating expenses during the quarter, which contributed to approximately a 300 basis point increase. Within our overhead costs, our miscellaneous expenses as a percent of revenue increased 110 basis points, due primarily to lower gains recorded on the disposal of property and equipment during the fourth quarter of 2024. We generally expect our miscellaneous expenses to average approximately 0.5% of revenue, so these costs were more normalized in the fourth quarter of 2024. Our direct operating costs, which are generally variable in nature, also increased as a percent of revenue when compared to the fourth quarter of 2023. Contributing to the increase in cost was a 100 basis point increase in our insurance and claims expense as a percent of revenue, which was primarily due to changes in the adjustment recorded for our annual third of accident claims. We were otherwise pleased with our team's effort to control our direct costs in relation to current business levels while also maintaining tight control over discretionary spending. Old Dominion's cash flow from operations totaled $401.1 million for the fourth quarter and $1.7 billion for the year, respectively, while capital expenditures were $170.9 million and $771.3 million for the same periods. We utilized $142.5 million and $967.3 million of cash for our share repurchase program during the fourth quarter and the year, respectively, while our cash dividends totaled $55.4 million and $223.6 million for the same period. We were pleased that our board of directors approved a quarterly dividend of $0.28 per share for the first quarter of 2025, which represents a 7.7% increase compared to the quarterly cash dividend paid in the first quarter of 2024. Our effective tax rate for the fourth quarter of 2024 was 21.5% as compared to 24.1% in the fourth quarter of 2023. We currently expect our effective tax rate to be 24.8% for the first quarter of 2025. This concludes our prepared remarks this morning. Operator, we'll be happy to open the floor for questions at this time.
Operator: If you are using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, at this time, we will pause momentarily to assemble our roster. The first question today comes from Jason Seidl with TD Cowen. Please go ahead.
Jason Seidl: Thank you, operator. Marty and team, good morning. Marty, you guys talked about tonnage being down 7.1% here in January, but, you know, it's obviously been all over the news about the really bad winter weather conditions in parts of the country that, quite frankly, aren't prepared for bad winter weather. How should we think about sort of that tonnage number going forward as we move throughout the quarter? Should we expect that to get a little bit better? Or how much was weather impacted?
Marty Freeman: Well, you know, we go through bad weather every January and February, it seems like in my career. And, you know, we get most of that revenue back when customers are closed down due to bad weather or causing carriers can't pick it up. It usually comes back in a couple of days. Some of it, you know, could be, you know, moved over to full truckload if they're able to, you know, build a full load from the ship dock. But most of that comes back. But, you know, to answer your question, it would depend upon, you know, what the weather is going forward. You know, we had some unusual weather here in the south where we live, and we never seen cold temperatures like that. We had a couple of snows, but I don't look for that to be a big issue with us going forward from a weather standpoint. And so I'm optimistic. We're almost out of the woods. It was seventy degrees here yesterday, so we love that.
Jason Seidl: We're getting the bad weather up here. You guys give us any numbers in terms of the amount of terminals you guys had that closed down in January maybe versus the prior January to give us a better feel?
Adam Satterfield: Yep. We don't normally get into that level of detail, Jason, but, you know, we obviously had service centers that were disrupted, as Marty said, and, you know, I think we always think about trucking as an outdoor sport. And so when we look at things like our ten-year averages, you know, there's gonna be bad weather that's built into those ten-year averages. We had bad weather in there in January last year. But we're pretty pleased with how we performed and what our volumes looked like in January overall relative to December. Our tonnage was a little bit under. We used the five-year average in December and January. We outperformed the five-year average in December by about a hundred basis points, and we underperformed by about a hundred basis points the five-year average in January. Usually, look at the ten-year average going forward. So tonnage ten-year average would be up one and about one and a half percent in February over January, and then the ten-year average in March would be a four point nine percent. So I think the key would be just we continue to perform and look and see how business levels deal throughout the month of February. And, obviously, this optimism we're hearing from customers and things like ISM finally going above fifty. And do those things really translate into increased business levels and see the acceleration that you would otherwise typically see or what we have seen over the last ten years.
Jason Seidl: Yeah. Well, I got my fingers crossed for you guys. Appreciate the time. Thank you.
Operator: The next question comes from Jordan Alliger with Goldman Sachs. Please go ahead.
Jordan Alliger: Yeah. Hi. I guess maybe it makes sense to sort of ask since we talked about tonnage a little bit on the operating ratio and putting all the puts and takes together with tonnage and trends in January, how you're thinking about 4Q to 1Q seasonality on OR? Thank you.
Adam Satterfield: Yeah. From an operating ratio standpoint, normally, we'd expect about a hundred to a hundred and fifty basis point sequential increase in the fourth to first quarter. For this year, I'm expecting that we'll probably be up kind of flat to up fifty basis points in the first quarter relative to the fourth. And, you know, we've got that insurance that was called out in the press release. We should see some improvement in those costs as a percent of revenue. I'd expect those costs to be closer to about one and a half percent of revenue in the first quarter or so. You know, that kind of otherwise would offset that normal sequential increase that we've seen. And so kind of that flat to up fifty, I still think, you know, we've got a little bit of a risk to revenue in terms of we're not quite yet there. We haven't had a period where we've been at seasonality for a full quarter. So we'll see, you know, what transpires as we continue to go through the rest of this quarter, but if we have a little underperformance there, then that puts a little bit more pressure on our overhead cost. I'm also expecting that our op supplies and expenses as a percent of revenue will be a little bit higher in the first quarter relative to the fourth as well. So but, you know, just like we did in the fourth quarter, really pleased with our performance there. We outperformed on a core basis what otherwise that normal seasonality would have been. Despite the, you know, what the top line dictated for us there and, you know, I think that just is a testament to our team and, you know, the focus that we have every day on managing our operating efficiencies and continuing to keep our belts as tight as we can and controlling discretionary spending. So had very good cost performance and control through 4Q and would expect that we'll see some of that continue into the first quarter here until we really get back to more of a robust revenue environment.
Jordan Alliger: Thank you.
Operator: The next question comes from Chris Wetherbee with Wells Fargo. Please go ahead.
Chris Wetherbee: Hey, thanks. Good morning, guys. Maybe if I could ask on pricing, kind of get a sense of maybe how you're seeing the environment. Fourth quarter revenue per hundredweight came in, you know, reasonably good. Sounds like maybe a little bit of an acceleration in 1Q, but could maybe help us sort of understand a little bit of what's going on from a pricing perspective, what you're seeing in the market?
Adam Satterfield: Yeah. We're still getting good price increases. The revenue per hundredweight came right in line with pretty much that range that we gave for the fourth quarter. It was up 3.8% excluding the fuel surcharge. And so we were right kind of in line with where we thought we'd be from a normal seasonality standpoint. Starting out in good shape at the beginning of the quarter with what we've seen thus far in January, being up 4.5%. But normal seasonality would be we'd be up about 3.6% to 4% in the first quarter. So we'll see. We saw a little bit of a drop in weight per shipment from December into January that kind of helped that metric. I'm hopeful that we'll see that weight per shipment, you know, reaccelerate. And that's pretty standard to see January's weight per shipment be a little bit lower. But hopefully, we'll see that accelerate as we go through the quarter. That'd be more indicative of an improving economic environment. But, yeah, that's kind of what we've seen thus far at this point through January, outperforming that range that we somewhat expect from a normal seasonality standpoint.
Chris Wetherbee: Okay. Helpful. Thank you.
Operator: The next question comes from Jonathan Chappell with Evercore ISI. Please go ahead.
Jonathan Chappell: Thank you. Good morning. Marty mentioned in his prepared remarks several other service centers that are under construction or near completion. As we think about, you know, the outlook for this year, maybe not identifying the inflection yet, do we expect, you know, four service centers or less in 2025? And, you know, if we do get that inflection second half of the year, customer optimism seems to be on point. How many service centers are pretty close that you could bring on pretty quickly to kind of keep the spare capacity where you'd like for it to be?
Adam Satterfield: Yeah. A lot of that's gonna be demand-driven, John. You know, we're at 261 service centers today, and we continue to execute on our long-term CapEx plan, really over the balance of the last couple of years, like Marty mentioned. And so we had four openings overall last year. And, as we look out this year, we're a little north of 30% from an excess capacity standpoint. So, you know, unless demand really dictates, we don't have to open any. In that regard, and we would be diligent in looking at the properties that we may finish construction on. And making that decision operationally whether or not we want to turn that new location on, if you will. And there's a lot of cost that goes hand in hand with a service center opening. It's not just the facility cost themselves, but it's working them into an operational plan and the impact of line haul operations and all the other incremental costs. So all of those would be factored into the decision as to whether or not we would want to open. But we've got, I think, several that are near completion now, and I think we would have several more. So that we could finish here in 2025. So that number that you mentioned, you know, we could open that many if demand dictated, but we're just gonna be, you know, sort of prudent with making those decisions. But what we can say is, you know, I think we've done continue to execute according to what our long-term plan has been, and that's making the investment anticipated growth curve. We're confident in our continued opportunities ahead for market share, and we want to make sure that we prepared our network and our people to be ready when those volumes do in fact return to us and should return at a very strong incremental margin. So, you know, that's something that we're in great shape for. And we'll continue to, you know, evaluate those projects, but we can handle a lot of business right now, but we want to be prepared. You know, you think back to how things changed quickly in 2021, 2022, we put on a cumulative $2 billion of revenue over that two-year period. So I think we're in a great spot from a network standpoint that we could go through a robust economic expansion and put on a lot of good, strong revenue.
Marty Freeman: And John, to add to Adam's comments, two of those facilities that we're working on now and trying to complete are hub facilities, which will actually lower our cost in the future from a line haul standpoint. So we're still very excited that those things are near completion and that'll give us some further savings down the road.
Jonathan Chappell: Great. Thanks, Marty. Thanks, Adam.
Operator: The next question comes from Daniel Imbro with Stephens. Please go ahead.
Daniel Imbro: Good morning, guys. Thanks for taking our questions. Adam, maybe to follow-up on an earlier comment you made. So demand has remained muted, but we did see PMI kind of return to expansion this month. Can you just talk about how long it typically takes for that to show up in terms of more shipments moving into the network? And what are the earliest of your business that do typically inflect higher in a cycle? Are you seeing any encouraging demand from those customers when you look across your portfolio? Thanks.
Adam Satterfield: Yeah. We actually, in the fourth quarter, saw our industrial business, for the first time in a while, outperform our retail-related business. And the revenue performance with those industrial-related customers is actually a little bit better than the overall company performance. And, you know, I think that kind of goes hand in hand with the enthusiasm that we're hearing from customers today. And, you know, albeit it's everyone, I think, is being a little bit cautious with it. But we saw the acceleration in ISM in December and didn't quite break the fifty threshold, but we felt like based on customer conversations that we would see it bust through fifty in January, and, you know, that's where it ended up being. So, yeah, I think that we'll just continue to stay engaged with those customers and obviously be there for them when they need us. And we'd love to see increased business levels with our industrial-related customers. Typically, it's a couple of months lag when we see that performance with ISM. In terms of the acceleration coming through, I'd say, for the industry overall. But certainly, we're in a great spot to take those increased shipments, you know, if they materialize.
Daniel Imbro: Appreciate all that color. Thanks a lot.
Operator: The next question comes from Eric Morgan with Barclays. Please go ahead.
Eric Morgan: Hey, good morning. Thanks for taking my question. I wanted to ask another on operating ratio. Just given the cost performance this year and where you see pricing trending, and I don't know, maybe you see a little bit of DNA or less of a DNA drag with CapEx coming down, do you think you can get to margin improvement this year if we are kind of in a steady state macro, or do you think you need to see some positive inflection here?
Adam Satterfield: Well, I definitely think that's gonna be dependent on the top line. Revenue. And, you know, we've talked about a lot of the OR degradation that we saw this past year, it really was in the overhead expenses line. We actually generated a slight, but just a little bit of improvement in our direct cost as a percent of revenue for the full year. So I was really pleased again with our ability to control what was controllable in a low-density environment while actually improving our service standards. So that's a testament to our operations team for how they handled and managed through this. So really pleased with that, but we did see the inflation there and those overhead costs, and, you know, they've been averaging about $300 million per quarter overall, plus or minus, kind of $5 million. And when you go through that allocation. So, you know, we've got to get back to a point where we've got some top-line growth. I think that if we can see some return to seasonality, then that's certainly possible. I think if you match seasonality or kind of trace it through the four quarters of this year, I can see back to or you get into the back half of the year in particular, fourth quarter, you can see some nice improvement overall in revenue, and I think that, you know, if we do our job and continue to control our cost, you know, it's certainly possible to get back to an environment where we can have some improvement. But, you know, I kind of look at this as it's gonna be a multiyear type of story in the sense of when I think we see the economy really rebound and you go back to some prior periods, like 2017, 2018, you know, it's gonna happen at some point, and it's called a cycle for a reason. Right? So whenever it does come through, you know, what's the leverage can we get on the revenue growth? And, you know, I think we can look at the breakdown of our operating ratio for the year and think that if our total direct cost for the year were between 52, 53% of revenue, overheads 20% to 21% of revenue. You run the math, that's a pretty strong incremental margin if we can just manage those two components. And that's where we'd expect to get the most leverage. If our overhead costs are about 21% of revenue, they've been 16, 17% before, so we can swing that pendulum back to the lower end of that kind of 500 basis point range that we tend to trade in. And see some really strong performance that should get us right back eventually towards our goal of producing an annual operating ratio below a 70.
Eric Morgan: Appreciate the color.
Operator: The next question comes from Brian Ossenbeck with JPMorgan. Please go ahead.
Brian Ossenbeck: Hey, good morning. Thanks for taking the question. So I just want to come back to the NMSTA, they're working through some changes to the class system. The proposal was out late last week. So got your thoughts on this last time, but I want to come back to it. I know you did mention a vast majority of your freight already, but that we've seen a little bit more on the table, terms of the proposal, what do you think the implications are for yourselves, your shippers, and for the broader industry, assuming this goes forward as proposed. Thank you.
Marty Freeman: Yeah. I personally think it's a big to do about nothing really because, you know, basically, what they're wanting to do is go from a class rating system to a density and cube rating system. You know? So that doesn't necessarily mean that the shippers have to do that overnight. You know, they have the choice to go to that if they want. So I don't see that being a big deal. And how that will affect the carriers. Certainly, we would like to work towards that because it gives the carriers a better system to rate the shipments and cost the shipment, but I think it's probably a lot of hype over nothing for the time being.
Brian Ossenbeck: Okay. Appreciate that, Marty.
Operator: The next question comes from Ken Hoexter with Bank of America. Please go ahead.
Ken Hoexter: Hey, good morning, Marty and Adam. Just maybe just sounds like a deceleration in the market if you're saying you're maintaining share volumes down seven percent, eight percent versus I think you were talking maybe more mid-single digits last quarter. Can you talk about that and your market share? Do you usually maintain it point in the downturn, you only get the pickup in the upturns? Then, Adam, just a real quick clarification. I think you mentioned OR up fifty to a hundred basis points. I thought last time you had mentioned the normal 1Q seasonality was a hundred to a hundred fifty. So does that mean you're looking to beat historical trends, or has the historical trend changed? Or just trying to get an update there. Thanks.
Adam Satterfield: Yeah. Let me make sure I clarify that. So the normal increase is a hundred to a hundred and fifty basis points. And I was saying that we should be flat to up fifty basis points from the reported operating ratio in the fourth quarter and part of that is the benefit of that insurance and claims expense that was 2.9% of revenue in the fourth quarter. We expect that to revert back to around 1.5% in the first quarter. So you got some benefit there and then some increases that I had mentioned earlier. But you're right. The normal average is a hundred to a hundred fifty basis points of an increase there. You know, in regards to your market share commentary, you know, I think that the thing that we've been looking at overall, obviously, there was a lot of disruption over the last couple of years. We're trying to look at share. Of just comparing the publicly traded carriers. So we've had to try to look more at the entire universe and some of the data that we get that includes private carriers overall. And so we would say that in 2023 and 2024 as well, from all the information we get, it looks like we have maintained market share. And, you know, that's effectively what we target doing. In a weaker economic period, we want to maintain our market share, continue to maintain discipline. With regards to our yield management philosophy as well, and then being in a good spot to start growing when the market does again. And, you know, I think that's what you see in the expansionary markets. We've outperformed the at least the public carriers. Buy anywhere from, you know, six hundred to eight hundred basis points, if you will. So I think that we'll see that play out again. And, you know, only time will tell in terms of how the others are able to reshuffle capacity, if you will, and when the market continues to improve and the freight comes back. And overall, we see the industry volumes are down probably about fifteen percent. Versus where we were in 2021, 2022. So I think that's created some of those capacities that's out there, but that'd be all about who can control it. Without any type of growing pains and, you know, referenced it earlier, but we put on two billion dollars of revenue cumulatively over that 2021 and 2022 period. So I think we've got a proven team that can go out and execute and put on a significant amount of revenue growth, that'd be a top ten carrier just putting it on organically. If at least what we did in 2021 and 2022.
Ken Hoexter: Great. Thanks, Adam.
Operator: The next question comes from Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Good morning. Hey, Adam, last quarter, you sort of gave us a range of revenue outcomes. I don't know for the for Q4, right? I don't know if you have a similar thought around Q1. I'm just trying to understand if is revenue starting to outperform seasonality or if this is just sort of the OR comment is more about sort of the Q4 starting point. And then the yields ex-fuel are sounds like accelerating a little bit in January versus Q4. Is that a mixed dynamic or is that pricing starting to reaccelerate again?
Adam Satterfield: Yeah. So in the first quarter this year, we would for to start, we've got one less operating day. We'll have sixty-three days in the first quarter this year versus sixty-four last year. But I guess the way I framed up revenue last quarter, you know, was kind of creating, okay, if we performed that seasonality, you know, what would that look like? And if we did that, in the first quarter, I think we did $1.38 billion of all-in revenue in the first quarter. But then kind of on the other, I gave if we in the fourth quarter, I gave if we underperform seasonality like we had in the third and the fourth quarter, what would that lower end of revenue range look like. And, you know, we did perform a little bit better in the fourth quarter than we did in 2Q and 3Q relative to what our ten-year averages were. But if we underperform seasonality kind of at that same pace, of the fourth quarter. Then first quarter revenue would be $1.34 billion. So maybe said more succinctly, somewhere a billion three four, a billion three eight would put us somewhere in normal seasonality range to kind of consistent underperformance like we had in 4Q. And I think that that's kind of like I was saying earlier, it's just we've typically you see a big acceleration in revenue. It starts, you know, here in February and then a big acceleration in March. And so, you know, that's still yet to be determined if we'll see that type of seasonal increase. Yeah. We're cautiously optimistic, I would say, in the sense that we felt like a year ago when we were sitting here, we felt like we were gonna see things turn to the positive. So, you know, we're being diligent and preparing for it. But we definitely want to see it transpiring before we get too far ahead of ourselves in terms of talking about what the top line and the operating ratio might otherwise be. That yield question that you asked just to kind of follow on to what I had said earlier. It's up 4.5%. Normal seasonality would imply that revenue per hundredweight X fuel would be up 3.6% to 4%. So it was a little bit of a drop-off in our weight per shipment. From December to January. So a little bit of mix. That kind of helped that number. But like I mentioned earlier, you know, I'd rather see our weight per shipment increasing and put pressure on that number, you know, naturally, then and get us back into that range, if you will, because that'd be more of a sign on the economy getting better, and we should see that follow through both with weight and shipment velocity as well. But, you know, we continue to do our thing in terms of executing on our long-term yield management philosophies and looking at individual account profitability and just trying to achieve increases that offset our cost, but also continue to the investments in new service centers and new technology that ultimately are designed to improve our customer service or enhance operating efficiencies that ultimately would allow us to better serve our customers.
Scott Group: Thank you, guys. Appreciate it.
Operator: The next question comes from Bruce Chan with Stifel. Please go ahead.
Bruce Chan: Yes. Thanks, operator, and good morning, everyone. Maybe just, you know, to get your thoughts around the big competitor spin-off that was announced at the end of the year last year, I know there's a pretty long runway on that, but maybe, you know, you could give us some color on how you see that affecting the competitive dynamic if it's maybe increasing on the margins or if you're confident that there's enough opportunity for everybody with potential cycle recovery.
Adam Satterfield: Yeah. I think that, not to speak for another company, but I mean that company we've been competing with for years. And so, you know, it's something that we'll have to continue to keep watch of and see what their new go-to-market strategy might be if there is any change to it. But I think otherwise, as a standalone and brighter light, maybe shining on business, would expect to see, you know, continued discipline there. But, you know, I think that we've got when you look at us compared to each of our larger national nonunion companies, you know, you look on the Mastio surveys and we've won the Mastio quality award for sixteen years in a row, and that's something that we continue to focus on. We want to stay as the industry leader there in terms of total service but better yet, the ultimate value that we can deliver to our customer. And so I think it's that value proposition that really gives us the opportunity to keep getting share as we look out into the future. And, we've won more market share than anyone else over the last ten years, and we think we're better positioned than anyone to win more market share than anyone else going forward, but, you know, I think the opportunities there for the industry. Like we've said time and time again, there's opportunity for more than just us to grow. And we've been competing with other carriers for years that have been trying to grow their business, and we've been able to compete very effectively. And, you know, I still believe that we're a capacity-constrained industry. I think it was commonly understood that our industry was capacity-constrained in 2022, and, you know, I think that's something that's it's almost like daylight savings time you can't the old saying about taking two inches off a blanket and so you know, sewing it on the other end of the blanket. Give you a longer blanket. And when you had a carrier that exited the business, and only half of their service centers have been reallocated to other carriers, just because the logo changed on the door doesn't mean there's more capacity in the industry. It's actually less. So I think when we see volumes actually normalize and start growing again and taking advantage of the e-commerce opportunities, near-shoring opportunities, freight that lends itself to the LTL movement. I think that's when you'll see the entire industry start to grow again and us winning more than our share of the market.
Operator: The next question comes from Bascome Majors with Susquehanna. Please go ahead.
Bascome Majors: Thanks for taking my questions. You talked earlier about looking at your market share from a broader data set including some of the private carriers. Can you talk about what segments of the market you think are gaining and losing share now that we've kind of settled out from all the noise of the yellow redeployment and the SD Cyber attack that were in comps for a while?
Adam Satterfield: Yeah. I mean, it's kind of hard to parse through, and we don't get that granular detail for us and the industry. But we get a lot of detail and continue to see consistent performance throughout each of our operating regions. And, you know, I think we've seen, you know, in some cases, the retail was had been outperforming. And that was somewhat related to the weakness of the industrial market. And, you know, ISM had been below fifty for twenty-five out of twenty-six months, I think. So, you know, we saw that reflected in our business levels over the last couple of years. But all in all, as we've talked on each call, we've been able to maintain customer relationships, and we've not really lost any major customer accounts. It's just our customers have had fewer shipments to tender to us. But I think that that's probably allowed us to maybe see that better performance on the retail side. As you go forward though, I think that we should see our industrial business start picking back up again. We have already started seeing business that's managed by third-party logistics companies. That business is performing better over the last couple of quarters. And it's also we've seen an increase in weight per shipment with those 3PL customers as well. So, you know, we've talked before about we feel like, and Marty mentioned it, about some consolidation of loads that have probably moved into the truckload world. And shippers taking advantage of that environment where the capacity was there and the rates were really low. It seems like maybe the rate environment's improving a little bit in truckload and so we had back. Some of that freight should swing right back into the LTL. So, you know, I think we got multiple fronts that should create some volume opportunities, be it continued growth with 3PLs, industrial strengthening, the overall industry, strengthening and, you know, that truckload market as it gets better, that's gonna create LTL opportunities. But also, we've got a structural advantage against our other competitors. Many of our competitors use an awful lot of truckload substitution for their line haul network. And so when that rate environment starts increasing, their cost will be increasing so that they typically have to raise rates much higher than us in that type of environment. So, you know, I think that's gonna create some volume opportunities for us as well.
Bascome Majors: And if I could ask a brief follow-up, there's a lot of focus on the largest player in the space as they become a standalone business over the next twelve plus months. How do you make sure you retain your talent as they're looking for new leadership?
Marty Freeman: I think I'll answer that question. I think that you have to maintain that doing the same thing we've done for years and that's the OD family culture. You know, we treat our employees, our sales reps, very well. We pay them well. They have quarterly incentives. And I'm not overly concerned that that's gonna affect us in any way.
Bascome Majors: Thank you, both.
Operator: The next question comes from Thomas Wadewitz with UBS. Please go ahead.
Thomas Wadewitz: Hey. Good morning, guys. This is Mike Tran on for Tom. So as we think about potential improvement in the macro, how do you view the impact of weight per shipment increasing on revenue per shipment? I imagine it's not a one-for-one impact, but is there a rule of thumb where you say, you know, fifty or sixty percent of the increase in weight flows through to higher revenue per shipment?
Adam Satterfield: Yeah. That's a hard one to answer when you're, you know, spreading it over fifty thousand shipments per day. But, you know, I think generally speaking, obviously, the improvement that we'd see in weight per shipment leads to increased revenue per shipment. And so, you know, generally, that's gonna be, you know, better for the bottom line, if you will. The cost, all things considered, if it's just a few more widgets on every pallet, the cost to handle might stay the same. But, you know, it's I don't know that there's necessarily a one-for-one relationship that we can share. Overall, it obviously will be a good thing that we've been suffering. Our weight per shipment has been pretty low. In January, we were 1,489 pounds. And, you know, back in the 2021, 2022, and prior expansionary type periods, we've been around 1,600 pounds. And so there's a lot of good things that come with that higher weight per shipment. You know, it translates into better line haul efficiency. There's just a lot of efficiencies that come with that increased weight. So it's something that we certainly will continue to watch. And, like I mentioned earlier, that's usually a good sign of an improving economy overall. You know, and then typically, we'll lead into increased shipments with customers as well. And so just all kind of works to our advantage, you know, from a leverage standpoint.
Mike Tran: Makes sense. Thanks, Adam.
Operator: The next question comes from Ariel Rosa with Citigroup. Please go ahead.
Ariel Rosa: Hi. Good morning. So I wanted to ask about inflationary cost pressures. Maybe you could just discuss kind of what you're seeing across the board, particularly insurance. We've heard from a number of carriers that they were seeing a lot of pressure on that insurance line item. And, obviously, here, in the fourth quarter, you saw a little bit of a step up there, which sounds like goes back in the first quarter. But maybe from a structural standpoint, you could talk about just where you're seeing inflationary cost pressures, level of confidence to get that back in pricing. And then just a clarifying question if I could on Bascome's question. Wanted to make sure I understand there are not non-compete clauses or anything like that with regard to any employees, whether senior management or salespeople, or is it just a function of the culture and the comp being sufficient that you're confident you can kind of retain the talent that you have. Thanks.
Adam Satterfield: Yeah. Let me see if I can keep up with everything there. But from an inflationary standpoint, you know, we end up last year about where we thought we'd be from a core cost inflation. We had anticipated that after a couple of years of increases that we would see things kind of revert back closer to our long-term average, which would be cost per shipment in the 3.5% to 4% range. So we were a little north of that overall in 2024. And kind of expect to see a little bit higher cost inflation in 2025 as well. You know, thinking it may be more in that kind of 4% to 4.5% type of range. So just a little north of that longer-term average. But that's something that we'll continue to work on, obviously. But we've been seeing, you know, inflation in many items, health care costs, you know, fringe benefit cost overall, would expect to see a little bit increase there. The insurance specifically that you had asked about, that's been a challenge for years in the transportation industry for large companies in particular, and I think it hits, you know, the entire LTL industry, but probably the large truckload carriers as well. It's been incredibly difficult to maintain the insurance levels that we like to have. We've taken increased premium cost in the double-digit range for probably the past six years, and that's taken on a little bit more self-insured risk as well. And so that's something that, you know, we always try to manage through in our team. Legal and risk has done a great job to be able to continue to maintain the insurance coverage that we do have in place. But it's something where our accident frequency ratios are at an all-time best and, you know, we obviously invest in a lot of equipment on our trucks to try to mitigate accidents, and we invest an awful lot of money in training our people as well for safe driving practices. So that's definitely a key to our foundation for success. But that's something that I think continues to be a challenge until we can see tort reform in this country. And it's something that at some point has got to happen. You know, it's just it's crazy. Some of the cases that you can kind of read about that have happened to some of the carriers out there.
Marty Freeman: And our sales turnover, to answer that question for you, is less than 1% a year. And most of that comes from retirement or promotions into operations or management. And it's not unusual for us to have other competitors to seek our salespeople, and they're smart to do that. Because our salespeople are trained to sell value, service, and not price. And we're proud of that fact. So again, you know, we hang on to our salespeople. They love working at Old Dominion because we treat them fair and pay them well. So that's the least of my concerns at least in our salespeople to a competitor.
Operator: The next question comes from Ravi Shanker with Morgan Stanley. Please go ahead.
Ravi Shanker: Great. Thanks. Maybe just a quick follow-up on the insurance question. Is there anything more you guys can do from a balance sheet deployment standpoint to maybe kind of do more of that in-house? Or have you sort of maxed out how much you can do there internally to maybe offset some of that inflation with third-party insurers? And also quickly to follow-up, I think, Adam, you said earlier that you pointed out that only half of the yellow volume had come back online and so that's net reduction capacity, but you have also seen a lot of organic capacity growth in the industry over the last year and into 2025. Are you concerned that, you know, that might come in and backfill for the yellow capacity that's not yet come back online?
Adam Satterfield: I think it's something that, you know, obviously, we'll continue to watch. What's going on in the industry. And like we've said, you know, I think it's gonna take going through an up cycle to really prove this is not the first time that in my career that I've heard that, you know, that other carriers are wanting to grow or they're adding capacity and that the growth story is gonna be over. I can recall hearing that back in 2016, and we've done a pretty nice job of being able to grow revenue from that point forward. But, you know, it's something that we obviously pay close attention to, and a lot of our confidence about market share comes from customer conversations more than anything. You know, staying in front of our customers, knowing how their business levels are changing, you know, what their strategies going forward are gonna be and how we can add value to their supply chains. And so, you know, we don't add capacity until we're confident that we're gonna be growing in the markets where we're expanding. And that's always been a key part of our expansion strategy. So, you know, I think that with getting to the up cycle, and then, that's probably gonna be the easiest answer to talk about, you know, where is industry capacity versus what our industry volumes looking like. But I don't see any change when we look forward. In terms of what our market share potential might be. Now versus the thinking that we had in place back in 2021, 2022. So we still feel like we've got a long runway for growth and a tremendous amount of opportunity out there ahead of us. And in regards to the insurance question, you know, I think we've done a really nice job in terms of managing those insurance costs. When you look at insurance and claims, on the income statement, it's pretty much been anywhere from 1.1% to 1.3% of revenue if you look back over the last kind of five to ten years, if you will, and it's something, like I mentioned, that we have had to take on some increased exposure. In terms of what our self-insured retention limits are and that's something that, you know, we spend a lot of time going through and planning. With our legal and risk teams to looking at and evaluating what type of risk do we want to take as we build out our insurance tower. And so, you know, there's a lot of strategy that goes in behind that. Obviously, there's no perfect answer. You look at things in hindsight and say, okay. We did this, and here was the result. You know, this year, we just had a bigger step up in terms of that the annual actuarial assessment that we complete in the fourth quarter. And took a little bit larger, you know, entry, if you will, to adjust those existing reserves on the existing claim. So but we do expect, you know, I think last year, we averaged about 1.2% of revenue for the insurance and claims, and I think that's probably gonna go up to closer to the 1.5% like I mentioned. So we'll see a little bit more inflation there. But all in all, I think we've done a very effective job of managing our cost for our insurance program. The other interesting thing that what goes in that line and where you've seen it improve over the long term is, you know, that insurance and claims line. That's our auto accident claims as well as our cargo claims ratio and, you know, our cargo claims ratio, which talked about for years, how we've generated improvement there and had got that balance down to point one. Well, it actually rounds to point zero point zero for this quarter. We just said below zero point one percent, but, you know, we talked about wanting to be on time and claim free. And in the fourth quarter, we were essentially claims free. So very proud of that achievement for the team as well, and it takes off a lot of investment in claim prevention and training and something we're really proud of.
Ravi Shanker: Wanna ask you if you can get better than zero point zero, but thanks for the time.
Operator: The next question comes from Stephanie Moore with Jefferies. Please go ahead.
Joseph Lawrence Hafling: Great. Good morning. This is Joe Haflin on for Stephanie Moore. Thanks for taking our questions at the end here. Maybe more of a thematic question. You mentioned, you know, maybe the tailwind of near-shoring. How do you guys view the Old Dominion network in relation to potentially sort of near-shore or on-shored production and manufacturing facilities? And maybe a curveball question, but we've been so focused on the organic growth front. Is there anything from an M&A standpoint as you guys look at the future of LTL that would maybe you in terms of beefing up your service offerings?
Adam Satterfield: Yeah. You know, M&A hasn't been a priority for us. Our last acquisition was 2008. So we just feel like we've been able to grow organically with really strong return on invested capital. And so, you know, that will most likely be the focus as we go forward. Being focused on what we do best, which is LTL transportation and, you know, again, like I've said earlier, I think there's a lot of opportunity for the industry. And certainly, we feel like we can benefit the most given the quality of our network, the quality of our service, and a value proposition that's unmatched in our industry. And to that end, you know, we've got 261 service centers throughout the US. So we cover all locations, all ZIP codes, and so as plants are being built or expanded in the US, it creates an awful lot of opportunity. It creates opportunity on the inbound side where we're hauling parts and pieces and chemicals and so forth, raw material inputs, for the manufacturing process. And then we've got the opportunity on the outbound side to take those finished goods and allow the shipper to leverage our LTL network. We can drop a trailer at a customer location. They fill it and, you know, it's seamless through our LTL network. To get it to all points around the US wherever their customer base might be. So a lot of opportunity on both inbound and outbound as we see the potential for more manufacturing in the US. Or even, you know, from a near-shoring standpoint, if there is more in Canada or Mexico or whatnot, you know, we can get those goods as they come cross-border instead of goods coming into a port, it's more likely that we would get them cross-border and the freight could stay within an LTL network to get final destination. Versus being in a railcar and being pulled maybe to the middle part of the country before we would get our hands on it. So it just creates a little bit more opportunity across all fronts.
Joseph Lawrence Hafling: Got it. Thanks so much. And just to just talk about, how much is cross-border as a percent of revenue for you guys? Could you remind me? Thanks.
Adam Satterfield: Yeah. It's a pretty small percentage overall, less than five percent.
Joseph Lawrence Hafling: Thanks so much, guys. And congrats.
Operator: The next question comes from Tyler Brown with Raymond James. Please go ahead.
Tyler Brown: Hey, you guys obviously covered a lot. But, Marty, do you think a little bit of an off-the-wall question, but do you think that the change in the administration could be an opportunity for the ATA or really the broader LTL industry to revisit broader use of triples? I know that you used them out west, but that seems like a sizable opportunity. That's surmise linehaul's probably your largest functional cost bucket.
Marty Freeman: Yes. I think that, Tyler, I think that yet to be seen by the new administration. I do see some positive things down the road for the new administration. Taxes is one of them, but as it relates to triples, other than Pacific Northwest, you know, that should have to be unseen. I think that's something that they talk about all the time at the ATA. I'm not sure, you know, how easy that will be to do. You know, one of the hub centers I mentioned earlier that we're building now, we'll be able to haul Rocky Mountain doubles on the turnpike, which will help our line haul from that aspect. But I think the jury's still out for triples in other areas, but hopefully, I would like to see that in some of the less congested areas in the future.
Tyler Brown: Perfect. Thank you, guys.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Marty Freeman for any closing remarks.
Marty Freeman: Thank you guys very much today for your questions. We appreciate it, and please feel free to give us a call after the call, and we'll be glad to answer anything we didn't cover today. So thank you, and have a good week.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.